Operator: Greetings. Welcome to CVR Partners LP Third Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. At this time, I'll now turn the conference over to Richard Roberts, Vice President of FP&A and IR. Mr. Roberts, you may now begin. 
Richard Roberts: Thank you, Robin. Good morning, everyone. We appreciate your participation in today's call. With me today are Mark Pytosh, our Chief Executive Officer; Dane Neumann, our Chief Financial Officer; and other members of management. Prior to discussing our 2022 third quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. Let me remind you that CVR Partners completed a 1-for-10 reverse split of its common units on November 23, 2020. Any per unit references made on this call are on a split-adjusted basis. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures, are included in our 2022 third quarter earnings release that we filed with the SEC for the period. Let me also remind you that we are a variable distribution MLP. We will review our previously established reserves, current cash usage, evaluate future anticipated cash needs and may reserve amounts for other future cash needs as determined by our general partner's Board. As a result, our distributions, if any, will vary from quarter-to-quarter due to several factors, including, but not limited to, operating performance, fluctuations in the prices received for finished products, capital expenditures and cash reserves deemed necessary or appropriate by the Board of Directors of our general partner. With that said, I'll turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone, and thank you for joining us for today's third quarter earnings call. The financial highlights for the third quarter of 2022 include net sales of $156 million, a net loss of $20 million, EBITDA of $10 million. And the Board of Directors declared a third quarter distribution of $1.77 per common unit which will be paid on November 21 to unitholders of record at the close of the market on November 14. During the third quarter of 2022 we successfully completed the planned turnarounds at the Coffeyville and East Dubuque facilities on time and in line with budget. During the turnarounds we completed an extensive amount of work that should allow facilities to run higher utilization rates than they have over the past year. We currently do not anticipate any additional planned turnaround activity until the fall of 2024. In addition to the downtime for the planned turnarounds, we also experienced approximately 11 days of downtime at the Coffeyville facility due to two outages at the third-party air separation facility. While Coffeyville was down for its turnaround, the operator of the third-party air separation facility completed a $19 million investment intended to improve its reliability. For the third quarter of 2022, our consolidated ammonia plant utilization was 52%. This resulted in combined ammonia production of 114,000 gross tons, of which 36,000 net tons were available for sale and UAN production of 184,000 tons. During the quarter we sold approximately 275,000 tons of UAN at an average price of $433 per ton and approximately 27,000 tons of ammonia at an average price of $837 per ton. Relative to the third quarter of 2021, UAN and ammonia sales volumes were lower as a result of the planned turnarounds this year. Prices for the third quarter improved significantly from last year, with ammonia prices increasing 65% and UAN prices increasing 42%. Despite completing two turnarounds in one quarter, we are pleased to be paying a distribution to our unitholders for the sixth consecutive quarter, bringing total distributions over the past six quarters to nearly $24 per unit. Looking ahead, we believe the strong market for nitrogen fertilizers will persist through 2023 as a result of continued tight market conditions globally, which I will discuss further in my closing remarks. I will now turn the call over to Dane to discuss our financial results.
Dane Neumann: Thank you, Mark. For the third quarter of 2022, we reported net sales of $156 million and an operating loss of $12 million. Net loss for the quarter was $20 million, or $1.87 per common unit and EBITDA was $10 million. Relative to the third quarter of 2021, EBITDA declined primarily due to lower production volumes and increased operating expenses related to planned turnarounds this year. Direct operating expenses for the third quarter of 2022 were $109 million, which included $31 million related to the planned turnarounds at Coffeyville and East Dubuque. Excluding inventory and turnaround impacts, direct operating expenses increased by approximately $14 million primarily related to increased repair and maintenance expenses and higher labor costs. During the third quarter of 2022, we spent $26 million on capital projects, which was primarily maintenance capital. We estimate total capital spending for 2022 to be approximately $44 million to $47 million, of which $43 million to $45 million is expected to be maintenance capital. We ended the quarter with total liquidity of $154 million, which consisted of $119 million in cash and availability under the ABL facility of $35 million. Within our cash balance of $119 million, we had approximately $52 million related to customer prepayments for the future delivery of product. In assessing our cash available for distribution, we generated EBITDA of $10 million and had net cash needs of $35 million for interest costs, maintenance CapEx and other reserves. We also released prior reserves of $28 million for the planned turnarounds and $15 million for expected working capital needs. As a result there was $19 million of cash available for distribution and the Board of Directors of our general partner declared a distribution of $1.77 per common unit. Looking ahead to the fourth quarter of 2022, we estimate our ammonia utilization rate to be between 93% and 98%. We expect direct operating expenses excluding inventory impacts to be between $60 million and $70 million and total capital spending to be between $5 million and $10 million. With that, I will turn the call back over to Mark.
Mark Pytosh: Thanks Dane. The third quarter was a critical turning point from the partnership. We made a significant investment in the reliability of our two production facilities. As a result, we've seen the highest rates of daily production in the history of both plants due to the work we performed during the two turnarounds. In total, we spent $33 million in expense and invested $26 million in capital for short and long-term reliability improvements. Additionally, the owner of the air separation plant in Coffeyville invested $19 million in reliability improvements and upgrades to its plant. With the work now complete and the investments made, we intend to run at reliable high rates of production until the next turnaround, which is currently planned for the fall of 2024. There is no turnaround activity planned in 2023. Growing conditions for this year's crops have been difficult for many regions in the Midwest with hot and dry weather causing droughts in a number of markets. The USDA estimates that planted corn acres were 88.6 million with estimated yields of 172 bushels per acre and soybeans were 87.5 million acres with yields of 50 bushels per acre. We believe estimated yields by the USDA are still optimistic. Inventory carryout levels are estimated to be 8% for corn and 5% for soybeans, keeping inventories at/or below the low end of the 10-year range. Global inventory levels of corn are particularly tight due to poor crop production in Asia and Europe because of drought conditions in both regions. Overall grain market conditions currently bode well for nitrogen fertilizer demand in 2023 and analysts estimate that planted corn acres in the US will be 93 million to 95 million. Because of warm dry conditions this fall harvest has started a bit earlier and faster than normal. We have begun to see some fall ammonia application, which is a week or two earlier than normal and should allow for a longer application period. We are expecting a record fall ammonia application around our East Dubuque region. Energy availability and pricing particularly natural gas and coal continue to have a major impact on global agriculture markets. Since our last earnings call, the natural gas shortages in Europe have grown more acute as Russia has reduced natural gas flow on the Nord Stream pipeline to zero causing natural gas prices in Europe to remain in the $20 to $40 per MMBtu range. Nitrogen fertilizer production curtailments in Europe are widespread and is currently estimated that Europe is running at 40% to 50% of production capacity. Lack of production has led to a short in nitrogen fertilizer for farmers in Europe and caused a structural shift in the markets where producers in the US and Trinidad are exporting nitrogen fertilizers to Europe. This shift has tightened the supply in the US and prices have risen steadily since July to reach equilibrium with European pricing. We expect a structural shift to the US being an exporter of nitrogen fertilizer to Europe will last for the next several years, as European production costs are likely to stay above the global cost curve. Even, if a greater abundance of LNG for Europe becomes available, we believe the landing cost of natural gas in Europe should remain the highest in the world and fertilizer production costs should be at the high end of the global cost curve. Our realized product prices in the third quarter, reflected fundamentals in the summer, before the US export activity to Europe gained momentum. UAN prices will rise in the fourth quarter of 2022 and first quarter of 2023 from third quarter levels, to reflect the large price increases in the market since July. We were selective with our initial UAN fill sales volume in July, due to the turnarounds we had planned at both plants during the third quarter. We currently have sold forward product through year-end 2022 and into the first quarter of 2023. Year-over-year product prices are expected to be higher for the next couple of quarters, but pricing for the spring of 2023 likely to be comparable to the high seen in the spring of 2022. On 45Q tax credits for the Coffeyville facility, we've made significant progress on all the structuring documents and continue to expect to close this transaction, with the tax equity investor in the fourth quarter. We still expect to receive initial net cash proceeds of approximately $15 million at closing of the transaction, with additional annual payments to follow over the next seven years. With the passing of the Inflation Reduction Act, which raised the values for 45Q tax credits for new carbon capture projects, we are evaluating our future options at the East Dubuque facility, as several developers are pursuing sequestration projects near our facility. We will update our efforts in future calls. We are continuing to evaluate some lower-cost brownfield development projects at both plants that can be attractive targeted capacity increases to our existing footprint. If approved, these projects would take several years to complete. We are not currently contemplating any greenfield development projects. This has been a critical year for CVR Partners, and we've taken advantage of strong nitrogen fertilizer market conditions to position the partnership for the future. We completed our targeted debt paydown and delevered the balance sheet, executed major turnarounds at both of our production facilities and are nearing completion on claiming 45Q tax credits for carbon capture at our Coffeyville facility. Looking forward with strong market conditions expected for the rest of 2022 and 2023, we're continuing to focus on maximizing free cash flow generation and unitholder returns. As always, management is focused on safely and reliably operating our plants, with a keen focus on the health and safety of our employees, contractors and communities; prudently managing cost; being judicious with capital, but targeting select investments in reliability projects and incremental additions to production capacity; maximizing our marketing and logistics capabilities; and targeting opportunities to reduce our carbon footprint. In closing, I'd like to thank our employees for their excellent execution during the third quarter, particularly during the turnarounds at both plants, while continuing to be healthy and safe in everything we do. With that, operator we're ready for any questions. 
Operator: Thank you. [Operator Instructions] Our first question is from the line of Rob McGuire with Granite Research. Please proceed with your question.
Rob McGuire: Good morning. Congratulations on your quarter.
Mark Pytosh: Good morning, Rob.
Rob McGuire: You mentioned in your prepared remarks that, you're expecting to fall application window to be longer than expected and I know the spring, was weak due to weather. But when we look back on the season or this fall season, how do you think will end up characterizing demand?
Mark Pytosh: I – from what we've seen so far and this is – we're always weather-dependent. We expect the fall application to be one of the largest that we've seen in the history for nitrogen based on what the demand we've seen so far, and again, the length and the ability to put this mostly for ammonia. But to put ammonia on the ground, need a little bit of moisture in a couple of areas of the Midwest. But if in fact conditions hold together, we should see a record among application this fall. 
Rob McGuire: Got it. And then can you discuss the impact of any logistical issues that you may have experienced during the quarter or perhaps what you're seeing out there in the environment period? 
Mark Pytosh: So, really the big logistical question in the marketplace is the Southern Mississippi River, which is very low due to the dry conditions that typically favors our market position because our plants are located in market in the Midwest. There's been -- we're -- the United States is the big importer of urea. A lot of that urea has been trapped in New Orleans here in the last month trying to get upstream. But I would say the tougher logistics questions on the river generally favor plants that are located in the Midwest. So, we should be in pretty good position there because we're using either truck or rail.
Rob McGuire: I appreciate that. And urea has been -- I would characterize a little weak and it seems like UAN has been strong. Do you have any comments on that?
Mark Pytosh: Urea tends to be more volatile it's more seasonal. And again because of some of the logistics issues and timing on when purchasers come in it's been more volatile. UAN tends to be steadier and it's been trading -- really over the last year, trading at a deep -- back to normal or higher than normal premium to urea. One of the things that's happened in the last couple of months is that there's been a fair amount of UAN that's been exported to Europe. Europe is a big consumer of UAN. And so the US producers a couple of the big ones plus Trinidad have been shipping a lot of UAN to Europe and that's created a tightness in the UAN component of the market here.
Rob McGuire: Thank you for the color. And then you touched on this in your opening comments, but -- in your prepared remarks, but what portion of your fourth quarter revenue do you think will be at summer fill pricing, or how should we be looking at that?
Mark Pytosh: Really I'd say a pretty small percentage of the fourth quarter will be summer fill. We didn't really sell far out because we had a turnaround. So, we didn't want to be too long in our sales book. So, we did shorter than normal and we got the benefit of the market firming between the summer fill and our -- by the end of our turnarounds. So, the pricing in the fourth quarter will reflect more I would say closer to at least where the market was lifting towards the end of the third quarter. 
Rob McGuire: Thank you. And then last question. You discussed a little bit in the prepared remarks the step-up in operating costs in the second half versus the first half. Was that entirely repair maintenance and labor costs? Is there anything else to characterize that step-up?
Mark Pytosh: Yes, it's predominantly -- what typically happens around turnarounds is it tends to elevate the repair and maintenance expenses as well because we're -- when we're -- the plant is down it's kind of that one opportunity to repair and look at all the equipment and we did a significant amount of inspections of our equipment at both plants and there were a lot of repairs that we wanted to complete. We don't want to start the plants back up without completing it. So, that was the biggest driver for the quarter. We did see in the third quarter a lift in kind of what I call utility pricing like natural gas and electricity. And that was because natural gas prices elevated substantially. That's come off quite a bit since the third quarter. And so that should be less of a factor in the -- sort of the fourth quarter I think and as we look ahead. But really the operating -- direct operating expenses were driven more by the turnaround activity and again, that should -- now that's complete should fall back to normal levels. 
Rob McGuire: Thank you so much for answering my questions. Good luck in the fourth quarter and the coming year.
Mark Pytosh: Thank you, Rob.
Operator: Thank you. At this time for closing remarks I'll turn the floor back to management. Thank you.
End of Q&A:
Mark Pytosh: I just want to thank everybody for joining us for our third quarter call and we look forward to speaking to you about our fourth quarter results in February. Thank you very much. Have a good day. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.